Operator: Good day, everyone, and welcome to the Garmin Ltd. First Quarter 2012 Earnings Conference Call. I want to note that today's call is being recorded. And now, I would like to turn the conference over to Kerri Thurston, Director of Investor Relations. Kerri, please go ahead.
Kerri Thurston: Thank you, and good morning, everyone. We'd like to welcome you to Garmin Ltd.'s First Quarter 2012 Earnings Call. Please note that a copy of the press release concerning this earnings call is available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the Internet. Please note that this webcast does include slides, which can be viewed during the call. An archive of the webcast will be available until June 1, and a transcript to the call will be available on the website under the Events calendar. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, earnings, market share, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the year ended December 31, 2011, filed with the Securities and Exchange Commission. Attending on behalf of Garmin Ltd. this morning are Dr. Min Kao, Chairman and Chief Executive Officer; Cliff Pemble, President and Chief Operating Officer; and Kevin Rauckman, Chief Financial Officer and Treasurer. The presenters for this morning's call are Cliff and Kevin. At this time, I'd like to turn the call over to Cliff.
Clifton A. Pemble: Thank you, Kerri, and good morning, everyone. As we announced earlier this morning, Garmin delivered revenue and pro forma EPS growth in the first quarter. Consolidated revenues increased 10% year-over-year to $557 million, with each of our business segments contributing. Our traditional markets of Aviation, Marine, Outdoor and Fitness attributed 14% revenue growth and 50% of the total revenue mix. Gross margins improved to 51% from 47% in the prior year. Operating margins also improved 150 basis points to 16%, with our traditional markets providing 80% of the operating income mix in the quarter. Revenue growth, combined with improved margins, resulted in both operating income and pro forma EPS growth. Operating income for the quarter grew 21% or $16 million, while pro forma EPS came in at $0.45, a 5% improvement over the prior year. We sold 2.7 million units in the quarter, up 7% year-over-year. Next, I'll walk you through the financial and strategic highlights, segment by segment. Starting in the Marine segment, revenue grew 9% as the overall industry showed signs of improvement. The mild winter experienced throughout much of the U.S. may have triggered an early start to the marine season. Growth was broad-based across our product portfolio. An area of strategic focus in the Marine segment is to strengthen our position in the OEM space through product portfolio expansion and strategic alliances. As we have mentioned in the past, 2012 will be a year of significant investment, as we pursue opportunities that we believe will lead to growth in 2013 and beyond. The near-term impact will result in some level of margin compression. However, we expect to see this reverse as revenue growth accelerates in the future. In Aviation, we posted revenue growth of 5%, with both the retrofit and OEM markets contributing. However, OEM recovery still lags the broader economy, and we expect this condition to continue throughout the year. During the quarter, we supported the successful first flight of the Cessna M2, which includes the Garmin G3000 cockpit system. This certification project, along with several others, continue to make good progress, and we anticipate the program will contribute to revenue growth in 2013 and beyond. These programs are very complex and require a higher level of R&D investment compared to what we have seen in the past. While this investment does compress our margins in the near term, we are confident that the investments we are making now will lead to growth in the future. The Outdoor segment performed well in the first quarter with 16% revenue growth and 4% operating income growth. Revenue improvement was primarily driven by new categories such as GPS-enabled golf products, as well as dog tracking and training. In the golf market, we continued to expand our product offerings with the new Approach S3. This touchscreen watch provides an integrated digital scorecard and shows the layout of the greens with the ability to easily relocate the pin. Throughout 2012, we will focus on creating new opportunities in adjacent markets and product categories as we have done in the past. We will also pursue utility, content and innovative form factors to capture both new and repeat customers. Turning now to the Fitness segment. Revenue grew 26% and operating income grew 34% on a year-over-year basis. This strong performance was partially driven by the successful launch of our latest, multisport device, the Forerunner 910XT. This product has been well received and is expected to continue to perform well at the high end of the market as we enter triathlon season. We continue to believe the Fitness category offers significant opportunity for growth going forward. In response to this opportunity, we are focused on delivering innovation in both running and cycling to drive broader adoption of GPS technology across a range of price points. Our Auto/Mobile segment was strong again in the first quarter, delivering revenue growth of 6%. This growth was primarily related to global market share gains in PND, sales of automobile -- mobile applications and amortization of previously deferred revenues that Kevin will discuss in a moment. During the quarter, we announced our first factory-installed infotainment relationship with Suzuki. We will be providing a complete entertainment head unit with enhanced features and an intuitive user-interface to a number of Suzuki models in both North America and Europe, along with a number of additional regions. This represents a significant milestone for Garmin, as we seek to build relationships and credibility in the auto OEM industry. While we are pleased with the first quarter results in the Auto/Mobile segment, we don't expect this trend to continue in the longer term as PND represents a substantial portion of the revenue mix, and the size of the PND market continues to shrink. We anticipate that the PND market will decline approximately 10% on a global basis for the full year. However, we expect our margins to improve throughout the remainder of the year as volumes increase from the seasonally low first quarter. Our strategic focus in the PND market is to profitably aggregate additional market share through innovation and by delivering the best navigation experience in the vehicle. With the Suzuki announcement, we took another step forward in building our OEM presence. However, we also recognize that this is just the beginning, as it relates to broader OEM market opportunities. We will continue to develop these opportunities, which will contribute to revenue growth in the years to come. Before turning the call over to Kevin, I wanted to highlight another important milestone that was announced this morning. We are pleased to report we have surpassed the 100 million units sold mark. Since our humble beginnings in 1989, we have delivered quality products to motorists, pilots, boaters, runners, cyclists, bikers, hunters and geocachers around the globe. We sold our first product in 1991, our millionth in 1997, 25 million in 2007 and now, over 100 million in 2012. It has been an incredible journey so far, and we are excited about our future. At this time, I'd like to turn the call over to Kevin, who will walk us through the financial details. Kevin?
Kevin S. Rauckman: Thanks, Cliff. Good morning, everyone. I'd like to begin by reviewing our income statement and margin results, then move to the balance sheet and cash flow statement, and then conclude with a few comments regarding our full year 2012 expectations. So first, we posted revenue of $557 million for the quarter with net income of $87 million. And our pro forma EPS was $0.45 per share, which excludes the foreign currency loss. Our revenue represents an increase of 10% year-over-year and our gross margin came in at 51%, which was a 410-basis point improvement from the prior year. Operating margin was 16%, up 150 basis points from the prior year. The key components of this were the favorable gross margin of 410 basis points offset by advertising, which was 30 basis points unfavorable and up $4 million on a year-over-year basis. SG&A was 180 basis points unfavorable, up $17 million on a year-over-year basis. Our R&D was 40 basis points unfavorable, up $10 million on a year-over-year basis. And each of these expense categories will be discussed further on a later slide. Our pro forma EPS of $0.45 represents a 5% increase year-over-year, driven by increasing revenues, improved growth and operating margins offset by a higher effective tax rate. The first quarter 2011 effective tax rate of 1.5% provided an additional $0.06 of diluted EPS. And finally, units shipped increased 7% year-over-year as 2.7 million units were delivered during the quarter. Our total company average selling price was $205 per unit, up 2% from Q1 of 2011, driven primarily by our segment mix. According to the U.S. GAAP, we must defer revenue on certain products, and this table summarizes the net impact of the deferral and amortization of revenue and related costs in the first quarter of 2012 and 2011. In the current quarter, we recognized, on a net basis, approximately $1 million of previously amortized revenues, resulting in no EPS impact during the quarter. In the first quarter of 2011, we deferred net revenue of $22 million or $0.09 of tax-affected EPS. While we are deferring revenue according to U.S. GAAP, we are collecting cash at the same time of sale, as reflected in our statement of cash flows. We now expect to have a negative revenue and EPS impacts due to deferrals in the upcoming quarters, but do not expect the impact to be as significant as the amounts that we deferred in 2011. In total, our revenues increased 10% during the first quarter, with all segments contributing to the growth. In Q1, we generated a 6% revenue increase within the Auto/Mobile segment, as volumes increased due to our 2011 acquisition of Navigon, and we continued to gain market share. ASP also increased slightly, driven by the recognition of previously deferred revenues. Our Outdoor segment posted strong revenue growth at 16%, due primarily to market share gains within the GPS-enabled golf market and the acquisition of Tri-Tronics in the back half of 2011. The Fitness segment continued to grow with a 26% revenue increase when compared to Q1 of 2011 on the strength of new product introductions, particularly the Forerunner 910XT for the triathlete market. Aviation segment revenues increased 5% compared to Q1 2011 with a single-digit growth in both aftermarket and OEM. In our Marine segment, revenues increased 9% compared to Q1 of 2011, as both the aftermarket and OEM markets improved for Garmin. During Q1, all geographies posted growth, with EMEA posting the strongest growth at 16%. For Q1 2012, the Americas represented 53% of revenue compared to 55% in Q1 of 2011. EMEA increased from 34% of total revenue a year ago to 36% in Q1 of 2012, while Asia was consistent at 11% of total. The Auto/Mobile segment represented 50% of our total revenue during the quarter, down 52% from Q1 of 2011. And Fitness grew to 13% of revenues in the quarter, an increase from 11% in 2011. Due to the improved profitability of Auto/Mobile in Q1 of 2012, the operating income contribution of the segment increased to 20% from only 2% in the prior year. The traditional segments of Outdoor, Fitness, Aviation and Marine contributed 80% of our Q1 total 2012 operating income. Looking next at margins. Q1 Auto/Mobile gross margin and operating margin were 39% and 6%, respectively. This year-over-year improvement in gross margin was primarily driven by the amortization of previously deferred high-margin revenue and product mix. Operating margin in the quarter was 6%, with gross margin improvement offset by increased SG&A and R&D expenses, focused on auto OEM. Q1 Outdoor gross margin was 61%, down slightly from Q1 of 2011. Operating margin was 34%, a decline from 37% in the year-ago quarter, due primarily to increased allocation of our SG&A expenses to this segment. Q1 Fitness gross margin, 61%, up slightly from the year-ago quarter. Our operating margin in this segment was 29%, again, up slightly to the year-ago quarter as the revenue growth outpaced our expense increases. Q1 marine gross margin was 60% compared to 65% in the year-ago quarter, as product mix shifted toward lower margin products. Operating margin was 16%, down 20 -- down from 29% a year ago, driven by the gross margin decline, increased R&D expenses to support our long-term marine OEM strategy, as well as cooperative advertising within our -- with our marine partners. And finally, the Q1 Aviation gross margin came in at 68%, down slightly from 69% a year ago. Operating margin was 23% for the quarter, down from 26% in the prior year, due primarily to the decline in gross margin and increased R&D expense associated with our new OEM programs that will begin to contribute revenue in 2013. Q1 operating expenses increased by $30 million on a year-over-year basis from $164 million, up to $193 million in Q1 of 2012, an increase to 260 basis points as a percentage of sales. A large portion of the increase was due to the acquisitions as I will highlight. Sequentially, operating expenses declined in all 3 categories. First, R&D increased $10 million year-over-year in the quarter and 40 basis points to 14% of sales, as headcount increased with our recent acquisitions, and we continue to invest in several OEM opportunities. Our ad spending increased $4 million over the year-ago quarter, with an increase of 30 basis points as a percentage of sales to 4% in Q1 of 2012. This was largely driven by additional costs associated with our acquired entities and cooperative advertising and promotional activities in our Marine and Aviation segments. SG&A increased $17 million compared to the year-ago quarter, an increase of 180 basis points to 16% of sales. The increase was primarily attributable to our acquisitions and to increased legal fees. Moving next to the balance sheet. We ended the quarter with cash and marketable securities of over $2.5 billion. Our accounts receivable decreased sequentially to $430 million due to the seasonality of the first quarter. AR accounted for approximately 56 days of sales when calculated on a trailing 4 quarters, compared to 81 days of sales in the fourth quarter of 2011 and 58 days of sales in the year-ago quarter. Our inventory balances increased slightly to $407 million on a sequential basis at the close of the first quarter. Our days of inventory metric was 102 days, compared to 102 in the fourth quarter and 119 days in the first quarter of 2011. We do not currently show a dividend payable as the $1.80 per share requires approval of our shareholders on June 1 at our annual meeting. We continued to generate free cash flow across our business as cash from operations was $122 million during Q1. We spent $6 million on CapEx during Q1, therefore, our free cash flow during the quarter was $116 million. Cash flow invested during Q1 was $55 million, including the $6 million in CapEx and $43 million net purchase of marketable securities. Our financing activities were a $74 million use of cash during the quarter, due primarily to the dividend payment on March 31. And overall, we earned an average of 1.5% in all of our cash and marketable security balances during the quarter. We expect our strong free cash flow generation to continue in 2012. And with it, we plan to continue to fund a strong dividend. We will ask shareholders to approve a 45% share quarterly dividend at our June annual meeting. We'll also continue to pursue acquisitions in adjacent niche markets or tuck-in technologies, which fit our core markets. As has been our practice in the past, acquisitions will be evaluated by technology, value compatibility and a strategic fit within our company. Tax rate for the quarter was 12.8%, and we expect our 2012 rate to be approximately 13% for the full year. Finally, as a reminder, we provided our full year 2012 guidance in February. And we are not updating guidance at this time, as our Q1 trends were generally in line with our own expectations and it is the seasonally weakest quarter of our fiscal year. We will plan to review and update 2012 guidance following our Q2 results. This concludes our formal remarks, and we will now move to a period of Q&A.
Operator: [Operator Instructions] And from Dougherty & Company, we'll go to Charlie Anderson.
Charles L. Anderson - Dougherty & Company LLC, Research Division: You guys highlighted the warmer weather. And I wonder, kind of relative to your forecast going in, how did that impact sales? And how should we be thinking about sort of seasonality in Q2, given that maybe some of these products were bought earlier than they normally are?
Clifton A. Pemble: Yes, Charlie, I think definitely, warmer weather could have spurred some initial buying, early start to marine season, as we commented. And if that's the case, then we would expect that maybe some of those purchases were done earlier and that Q2 could consequently be a little softer in some of those seasonal markets. But it's too early to tell. And I think that we'll continue to monitor going forward.
Charles L. Anderson - Dougherty & Company LLC, Research Division: Same goes for Outdoor, potentially?
Clifton A. Pemble: Possibly. Although, again, I think it's probably a little more difficult to tell there.
Charles L. Anderson - Dougherty & Company LLC, Research Division: Yes. And then a follow-up for me on Marine, I think your OpEx was up something like $6 million, $7 million year-over-year. I think you guys highlighted in the press release the increase in R&D. But I think that only made up $2 million of that increase. So I wonder if there are any sort of one-time events or if it's all just sort of related to some of these OEM program costs. And then on that, I wondered if you could help us understand sort of the upside revenue potential as you're building for some of these OEM programs, that would be helpful.
Kevin S. Rauckman: Yes, there really were no one-time events. So I think the points of investment in marine OEM apply across the board, whether it's R&D or other SG&A costs. And -- so I think we've seen some growth over the last year on our marine OEM, but we still have high hopes for winning new deals in the next year to 2. I think, Charlie, that the time to invest and then the time to win business takes somewhere between a year or 2 to gain revenues. So we're still expecting more of a longer-term benefit on the Marine segment.
Operator: Next, we'll hear from Yair Reiner with Oppenheimer & Company.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Just a couple of quick questions on the PND business. The net deferred revenue turned positive in the quarter, I think, sooner than I had anticipated. Can you give us a sense of whether the take rate decline in the quarter for lifetime apps, whether the deferral has come down? And how you expect those 2 items to trend over the year?
Clifton A. Pemble: Yes, it's a good question. Now the take rate really didn't change significantly over what we saw in Q4. But what's occurred is you have Q1's our seasonally lowest period but we've continued to amortize our past deferred revenues, and they actually surprised us a little bit the fact that it actually became positive. What we're expecting for the remainder of the year, as I said in my remarks, is that, that would continue to be negative in terms of the revenue and operating income. However, it will be less negative than we experienced in 2011.
Yair Reiner - Oppenheimer & Co. Inc., Research Division: Okay. And then in terms of volume kind of back on the envelope, it looks like PND volumes on an organic basis were probably down low teens, if I kind of factor in the contribution for Navigon. TomTom, when they spoke last week, I guess, I guess they're seeing the market probably decline even more sharply than that on a global basis. When we think about that 10% decline that you've talked about, do you think there's a chance that needs to get revised to something a little more conservative as we move through the year?
Kevin S. Rauckman: Well, as Cliff mentioned, we do expect that the overall industry will continue to be in decline. And we haven't changed our outlook on an overall 10% decline for the year. I think where we saw -- a little bit more strength within the European market, where we saw better sell-in and even our U.S. market didn't decline as much as we had anticipated. So we -- I think we're pleased in general with the overall PND industry. We'll just have to wait and see how the rest of the year shapes up.
Operator: And next, we'll hear from Suhail Chandy with Wedbush.
Suhail Chandy - Wedbush Securities Inc., Research Division: This is Suhail, sitting in for Scott. A couple of questions if I may. Talking -- going back to the question on deferred revenue progressing, and you said it's going to be negative, but less negative. Can we expect a turnaround there and where it becomes a tailwind to EPS? And if so, when should we see that occurring?
Kevin S. Rauckman: We don't expect a tailwind on an absolute dollar basis for the remainder of 2012. And we'll just update you all as we go forward in the year to see when that will turn around. So I think, again, we would expect both negative revenue and EPS impact due to the deferrals as we go through the remainder of this year.
Suhail Chandy - Wedbush Securities Inc., Research Division: Okay. And second question -- great job on gaining market share and PNDs. But as we look forward, how much more market share do you see out there that's open for the taking?
Clifton A. Pemble: Well, I think there's still third-tier players that are struggling in the market. And as they continue to capitulate, there will be market share to take. And of course, we, as the global leader, it is still kind of split between us and the second player. But we would aim to try to take share from all the players as well.
Operator: And from Avondale Partners, John Bright.
John F. Bright - Avondale Partners, LLC, Research Division: Cliff, why did you decide to open auto OEM offices in Japan, China, Germany now versus years past?
Clifton A. Pemble: Well, I think that in Japan is in response to our opportunity with Suzuki, and so each of these opportunities requires local engineering support. China is an emerging opportunity, so we're developing business there, and it requires a local presence. So each one has its own story. But in general, it's driven either by the engineering support is needed or the business development that's needed.
John F. Bright - Avondale Partners, LLC, Research Division: My second question is regarding Aviation. In the prepared slides, I think you alluded to multiple ongoing OEM certifications. How much of this is built into the annual guidance?
Clifton A. Pemble: Well, as we mentioned, I think some of the opportunities that we've mentioned publicly don't deliver in 2012. So -- though there's really nothing in the annual guidance that's reflecting these opportunities that are in the out years.
John F. Bright - Avondale Partners, LLC, Research Division: And how large could these opportunities become?
Clifton A. Pemble: We really can't comment on the specific programs and the individual contributions.
Operator: And next, we'll go to Jeff Rath with Canaccord Genuity.
Jeff Rath - Canaccord Genuity, Research Division: Just a question around your OEM opportunities, Cliff. You talked about OEM opportunities now in Aviation, Auto/Mobile and Marine. I wonder if you could talk a little bit about the size of those opportunities and the visibility that comes with those opportunities. I'm not sure if you're willing to give us some sense of how much is coming already in those segments from OEM as well. And I have a follow-up.
Clifton A. Pemble: We generally don't split it out between OEM and retrofit in these various market segments. I think that's -- we're growing from a very small base in Marine and Auto, so we have room to grow in those areas. But the Aviation, as you know, we've been strong in over the years. And so there, we have a higher mix of OEM versus retrofit sales.
Jeff Rath - Canaccord Genuity, Research Division: And more specifically, Cliff, do you expect the incremental investments that you're making in those opportunities, in those 3 segments? I guess, in Auto, it's already bearing fruit. But do you expect those to start to show up in sort of I guess stronger revenue growth in 2013?
Clifton A. Pemble: Yes, 2013 and beyond is really when those opportunities really hit for us.
Jeff Rath - Canaccord Genuity, Research Division: And just one final for Kevin. Kevin, historically, you've kind of just talked generally about your free cash flow targets for '12 as being about flat with 2011. Is that still the case?
Kevin S. Rauckman: Actually, they should be a little bit down this year because of the deferred revenue impact. We've had some -- as I mentioned in my comments, we get the cash up front, but we will not see as significant of a deferred revenue benefit this year. So overall, we're looking at free cash flow somewhere in the area of about $650 million for the full year.
Operator: Next, we'll hear from Simona Jankowski with Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: I'm not sure if I missed it, but would you be able to estimate your market share in North America and Europe? And also, did you think most of your share gains in the quarter were in Europe or in other markets as well?
Kevin S. Rauckman: Well, I think if you look at the most recent NPD data, it suggests that our U.S. share in PND could be as high as 66%, which is an increase of low-60s, about 63% a year ago. It also appears that in Europe, depending on which numbers you use, we could be looking at market share in the low 30% range, somewhere between 31% and 33%. But it does appear that we are gaining share in both of those regions for the Q1 time period.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Sure. And the U.S. share, if you compare that 66% to 63% a year ago, it seems like most of that would be accounted for by the Navigon acquisition? Or do you feel that organically, you've had some share gains as well?
Kevin S. Rauckman: Navigon would not have been in the U.S. market. So that 66% is exclusive of Navigon. I think the European number would be inclusive of Navigon, so that could be impacting part of that. Yes.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And then just lastly on the PND side, how should we think about your ASPs this year? It sounds like they improved a little bit sequentially this last quarter. Do you view them as flattish, going up, going down slightly throughout the rest of the year?
Kevin S. Rauckman: Yes. We're looking at an overall full year ASP impact of neutral. So really, no price change across the board in the PND results for our 2012 segment.
Simona Jankowski - Goldman Sachs Group Inc., Research Division: Okay. And just to make sure I'm interpreting that correctly, do you mean full year '12 relative to full year '11, or just relative to the ASP that you had in the first quarter?
Kevin S. Rauckman: Full year 2012 versus full year 2011.
Operator: And from RBC Capital Markets, we'll move on to Mark Sue.
Mark Sue - RBC Capital Markets, LLC, Research Division: So the bigger you get in terms of PND market share, the better your margins should be over time, particularly when there's no ASP declines. So how do we -- how should we think about margins in the steady business over -- as you kind of amass more volumes on a normalized basis?
Kevin S. Rauckman: I would expect, as we go forward, not just in 2012, but in future years, we would expect a slight increase in gross margin. I caution, though, because the number of units that we are shipping on an absolute basis is not really moving. In fact, it's going to be down. But just given the competitive landscape that we're looking at, I'd expect slight increases in gross margin over the next year or 2.
Mark Sue - RBC Capital Markets, LLC, Research Division: Okay. Are there other changes in terms of component costs and also what you're paying for maps and everything else that kind of gives you a boost over time as well?
Clifton A. Pemble: Yes, and that's the reason for a potential benefit. We're looking at this year, cost benefit or cost savings in single digit -- low-single digits. So prices stay roughly flat. And costs come down a couple of percentage points and that should help us.
Mark Sue - RBC Capital Markets, LLC, Research Division: Okay. And then just separately on Fitness, have you had the opportunity to recalibrate the TAM kind of penetration, where we are in terms of the market, and how we should look at running and cycling? It does seem like a highly discretionary purchase, but yet you're seeing strengthening trends. Just kind of your thoughts of the sustainability of that market.
Kevin S. Rauckman: Yes, Mark, there's not a lot of market research that would really point to what the TAM is, if you will. It's a little less defined than what obviously Auto market is where you can count how many cars there are. But that said, there's a growing interest in using GPS for fitness-related activities anywhere for -- from people who are more interested in the health side, to people who are competitive. So we're seeing the growth being driven by the increased interest and adoption of GPS.
Operator: And moving on to Ben Bollin with Cleveland Research.
Benjamin James Bollin - Cleveland Research Company: I have 2 questions. The first relating to channel inventory levels, could you address where you see those for the PND business? And then also, Outdoor and Fitness? And if you see any other significant channel expansion opportunities, and then I have a follow-up.
Kevin S. Rauckman: Yes, we talked about this in our last earnings call. We exited -- we saw the channel, both our inventories and the channel inventories at a fairly low level. And we really haven't seen much movement there. It appears that the retailers are doing a much better job of keeping their inventory clean and buying as they need. So we feel pretty comfortable with that. And no real issues on the Outdoor and Fitness segment either in terms of channel inventory.
Benjamin James Bollin - Cleveland Research Company: And then, I guess, the second one looking at margin overall, if you look at all the OEM opportunities, Auto and Marine and Aviation, can you provide a little bit of direction on each one? How these OEM opportunities will contribute to growth in operating margins?
Kevin S. Rauckman: I think the way you need to look at it is we're in an investment phase in each of those. And if we can win the business that we're going after, just the incremental volume will really help push up operating margins over time. Now this isn't going to occur in 2012, as Cliff said. It's going to take us 2013 and beyond to see those benefits. But Aviation, typically, for example, would be operating margins in the -- about 30%. And we're below that right now. So we would expect margins to pick up at least in that area, in that segment in the future.
Operator: Next, we'll hear from Rich Valera with Needham & Company.
Richard Valera - Needham & Company, LLC, Research Division: Question on auto gross margin as you move through the year. I think you mentioned in your prepared remarks that you expected them to be higher than the first quarter level due to higher volumes as you move through the year. Wondering if you could quantify that at all, and if that includes also the fourth quarter, which is typically a lower margin quarter than, say, the second or third.
Kevin S. Rauckman: Well, I think what we would expect across our business, and it includes the Auto/Mobile, is we had a 16% operating margin, and we would expect those margins to pick up above 20%, not only in Q2 but for the rest of the year. And even looking at Q4 for the Auto/Mobile, we still expect that operating margins should be up. In total, I would expect it to be somewhere, just on the Auto/Mobile segment, closer to the 10% as opposed to the 6% that we reported in the first quarter.
Richard Valera - Needham & Company, LLC, Research Division: Okay. But I think the comment you made was specifically with respect to Auto gross margin, was it not in your prepared remarks?
Kevin S. Rauckman: Yes. So gross -- just looking at the gross margin, 39%. We won't give specific segment expectations, just on the PND or Auto/Mobile. We do expect those to increase again due to volume.
Richard Valera - Needham & Company, LLC, Research Division: And you would think that would include the fourth quarter, which is typically seasonally weaker from a margin perspective?
Kevin S. Rauckman: That's all -- that's wrapped into our expectations. We naturally see Q4 below the other quarters because of the holiday season.
Richard Valera - Needham & Company, LLC, Research Division: Right. And then you address seasonality to some degree in Outdoor and perhaps Marine. I'm wondering about seasonality for Auto into 2Q. Is there any reason to expect any difference from the last couple of years in terms of seasonal trends from first quarter to second quarter there?
Kevin S. Rauckman: No. We would expect similar seasonality going from Q1 to Q2 in the Auto/Mobile space. As Cliff mentioned, we may have some negative impact due to the Marine segment on what we saw in Q1 versus Q2.
Operator: And we'll take our last question from James Faucette with Pacific Crest.
James E. Faucette - Pacific Crest Securities, Inc., Research Division: Just a couple of questions. Starting with production, it seems like -- and I think, Kevin, you've alluded to this that, that inventory levels in the Fitness segment are low, seems to be low in the channel. It seems like we may not be getting enough demand -- to even meet demand for some of the new watches and so on. So can you talk a little bit about if you're having production constraints there or what may be keeping supplies tight? And similarly, I know that you talked a little bit about ramping new Aviation products last quarter. I'm just wondering if we are seeing any production constraints there? And then finally, just my last question, if we can just get an update on the timing of availability of the Vector. It sounds like there's a fair amount of pent-up demand for that product.
Clifton A. Pemble: Yes, James, this is Cliff. In terms of Fitness inventory constraints, we don't really see any constraints in terms of production and supplying the channel. I think some of what you may be seeing in the field is that some of the more popular products like the 910 have done much better than what our retailers and what our forecasts had indicated initially. So we are able to ramp that production up, but it does take some time to get those fed out to the field. Some of the retailers are small independents and it does take some time to fill their needs. In terms of the Vector, we are testing prototypes at this point and so we do have systems that are being filed and proven. As we mentioned in our update recently, we weren't happy with what we felt was the performance required for the cycling market. And so we've stepped back a little bit and we want to go back and try to make sure it's absolutely rock-solid before we take it out to market.
Operator: And gentlemen, there are no further questions at this time. I'll turn the conference back over to you for any additional or closing comments.
Kevin S. Rauckman: All right. Thanks, everyone, for your participation. We look forward to keeping you updated and as we move through the year. So have a great day. We'll talk to you later.
Operator: Ladies and gentlemen, that does conclude today's conference. Thank you for joining.